Operator: Good day, and welcome to the American Finance Trust Fourth Quarter and Year-End 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded.I would now like to turn the conference over to Louisa Quarto, Executive Vice President. Please go ahead.
Louisa Quarto: Thank you, operator. Good morning, everyone, and thank you for joining us. The call is being webcast in the Investor Relations section of AFIN's website at www.americanfinancetrust.com.Joining me on the call to discuss the results are Michael Weil, Chief Executive Officer; Katie Kurtz, Chief Financial Officer; and Zachary Pomerantz, Senior Vice President, Asset Management.The following information contains forward-looking statements, which are subject to risks and uncertainties. Should one or more of these risks or uncertainties materialize, actual results may differ materially from those expressed or implied by the forward-looking statements.We refer all of you to our SEC filings, including the annual report on Form 10-K for the year ended December 31, 2019, filed on February 26, 2020, and all other filings with the SEC after that date for a more detailed discussion of the risk factors that could cause these differences.Any forward-looking statements provided during this conference call are made only as of the date of this call. As stated in our SEC filings, AFIN disclaims any intent or obligation to update or revise these forward-looking statements except as required by law.Also during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating the company's financial performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release.I'll now turn the call over to our CEO, Mike Weil. Mike?
Mike Weil: Thanks, Louisa. Good morning, and thank you all for joining us today. A year and half ago, we announced that American Finance Trust will become publicly traded, opening up significant opportunities for the company to grow our experiential retail-focused portfolio through improved access to capital markets. We suggested this step would better position us to pursue asset acquisitions that enhanced and diversified our already high-quality portfolio. A compelling opportunity existed for a retail-focused REIT with high credit quality tenants and a good balance of both stability and growth.After completing our first full year as a publicly traded company, I'm happy to report that we've capitalized on these objectives and concluded 2019 well positioned to carry this momentum into 2020 and beyond. Year-over-year, we're proud to report increases in revenue, cash NOI, adjusted EBITDA and AFFO per share.AFFO for the full year 2019 was $0.99 per share compared to $0.98 per share in 2018. For the fourth quarter, AFFO was $0.24 per share versus $0.23 per share in the fourth quarter of 2018 and $0.22 in the third quarter of 2019. The 9.5% quarter-over-quarter increase in per share AFFO was driven by $3.2 million in additional rent from third quarter acquisitions, including $2.6 million from the acquisition of the dialysis portfolio on the last day of the third quarter.Full year 2019 cash NOI increased 9% year-over-year to $231 million. Revenue from tenants increased 3% to $300 million for the full year 2019 and annual adjusted EBITDA increased 5.1% to $201 million. As we've discussed previously, AFIN's focus continues to be on strategic acquisitions that enhance the growth profile of the company and that are partially supported by proceeds from opportunistic dispositions of non-core low growth properties.We delivered a strong year of acquisitions as our team closed on over $420 million of single-tenant properties at a weighted average cap rate of 7.8%. We continue to improve the portfolio by opportunistically acquiring service-oriented retail properties with long-term leases. These acquisitions not only exhibit an attractive yield, but strong fundamentals, too.Over 85% of the properties acquired in 2019 and 82% of the properties acquired since 2017 are leased to service-oriented retail tenants and have lease durations averaging over 12.6 years. AFIN's recent acquisitions improved the portfolio's overall diversification, weighted average lease term and property mix, while delivering a nearly 100% occupancy level across our single tenant portfolio.We remain enthusiastic about the service retail sector and intend to continue acquiring these types of assets like we have over the past three years, during which time, we've grown total single-tenant acquisition volume by an average growth rate of 69% per year. We believe that AFIN's portfolio is of the highest quality and has more creditworthy tenants and a higher concentration of service retail than the portfolio of other net lease peers.Among our single tenant assets, 82% of straight-line rent comes from investment-grade and implied investment grade tenant, including 100% of our top 10 tenants portfolio wide. Please refer to our earnings release for more information about what we consider to be implied investment-grade tenants.Our weighted average lease term is 10.8 years and 82% of single-tenant retail rent comes from service retail tenants. In 2019, we also strategically sold 25 properties for gross proceeds of $132 million and a gain of $23.7 million on net proceeds of $39.4 million, including five properties sold in the fourth quarter for total gross proceeds of $16.3 million, of which approximately $6.3 million was used to repay related debt.We also sold two large properties during the year, one office and one warehouse that had upcoming lease expirations that were not expected to be renewed, and they didn't fit into our retail strategy. 16 of the properties we sold last year were bank branches leased to SunTrust Bank, now named Truist Bank, which were sold at a weighted average cash cap rate of 5.5%, generating an $11.2 million premium above the original purchase price.As we've discussed previously, we've been able to take advantage of a 190 basis point arbitrage between the sale and the acquisition of new assets with longer lease duration and similar credit quality. This is also reflected in our acquisition pipeline, which has a weighted average cap rate of 8.8% and an average remaining lease term of 18.4 years. We view these opportunities as accretive sources of capital as we continue to focus on portfolio growth.Heading into 2020, we expect to be net buyers with a forward pipeline of $82.5 million in retail acquisitions. We favor service retail concepts that are either unsuitable for online platforms such as gas stations and convenience stores, dialysis centers and certain restaurant categories or those that greatly complement online experiences by providing an omni-channel experience for customers.Retailers that initially utilized an online-only model have been rapidly adding physical locations to connect with more customers in the direct way that research has shown millennial and generation Y and Z customers prefer. Consulting firm, AT Kearney, found that 81% of generation Z shoppers prefer to go to physical stores to shop and discover new products.Warby Parker, the popular eyewear company that started out as an online-only retailer, has over 100 stores across the U.S. and Canada and anticipates growing their store count by 35% this year. SmileDirectClub, whose business model previously revolved around connecting customers to dentists has been opening locations across the country and recently teamed up with Walmart to put retail products in Walmart stores.At the same time, Walmart is becoming a leading omni-channel retailer who is competing successfully against Amazon by using their tremendous brick-and-mortar network of distribution centers and retail stores. There seems to be a broad acknowledgment that it's important for brands to meet customers where they are already physically located in order to promote and sell their products and services.Perhaps more importantly, these trends suggest that very few Internet-based direct-to-consumer companies can grow their customer base sufficiently enough to pivot forward profitably without establishing some degree of brick-and-mortar presence. As I noted earlier, over the past year, we demonstrated an ability to access capital markets in effective ways to drive our strategy.In 2019, we completed a Series A preferred class of stock and ABS or asset-backed security offering and utilize the at-the-market programs for AFIN's common and Series A preferred stock. These offerings have brought AFIN exposure to a wider set of institutional shareholders.Further, three investment banks have issued research on the company. In 2019, we raised $168.9 million in preferred equity. We also successfully completed an ABS offering, issuing dual-class $242 million long-term fixed rate notes rated AAA and A by Standard & Poors. The weighted average interest rate on both classes of notes was 4.2%.Assets accessing long-term fixed rate financing through multiple channels allows us to effectively manage our high-quality portfolio and unlock value in the assets we own. We'll continue to have dialogue with financing partners and rating agencies as we consistently seek to optimize AFIN's capital structure. We're pleased with the overall position of the portfolio and believe that long duration leases and high-quality tenants will drive shareholder value and per share AFFO increases as we continue to grow the portfolio.We believe that AFIN remains a compelling investment opportunity, trading at a discount to our peers, while offering a portfolio that has a higher concentration of actual or implied investment-grade tenants and a weighted average lease term of almost 11 years. Our dividend is attractive in an environment where, according to a recent Wall Street journal article bond yields remained stock at low levels and yield focused investors are allocating to REITs for income.In 2020, we'll continue to tell our story to the institutional and retail investors who don't yet know our value proposition, while making further progress on metrics, such as dividend coverage and net debt-to-EBITDA ratio. With that, I'll turn it over to Zach for an overview of our 2019 estate activity
Zachary Pomerantz: Thanks, Mike. At the end of the year, we owned 819 properties, with portfolio occupancy of 94.6% and a weighted average remaining lease term of 8.8 years. As Mike mentioned, revenue from tenants increased 3% through our acquisitions and the average contractual rent growth of the portfolio, which remains at 1.3% per year, driven by 80% of our leases that include rent escalators. We are pleased with the impact our 2019 real estate activities made to further our strategy of owning a diversified portfolio of retail assets leased on a long-term basis to high quality tenants.Retail makes up 69% of 11.3 million square foot single tenant portfolio, up from 59% at the end of 2018, with the balance comprised of 16% distribution properties and 15% office properties. Occupancy across a single tenant portfolio is nearly 100%, with a weighted average remaining lease term of 10.8 years and 1.3% average annual rent escalators.There are very minimal near-term lease expirations in this portfolio, with only 11% of leases expiring within the next five years. We have a high concentration of investment-grade or implied investment-grade tenants as 82% of the annualized straight-line rent in our single tenant portfolio is derived from these high quality tenants, up 5% year-over-year.Lastly, we grew our single tenant portfolio to 786 properties or 67% of the total portfolio's straight-line rent at the end of 2019, up from 593 properties and 64% of straight-line rent at the end of 2018. All of the transactions completed in 2019, and in fact, all of the transactions completed since first quarter 2017 were single-tenant net leased assets.Complementing the single-tenant net lease portfolio are our multi-tenant retail assets. Large anchor tenant leases share many lease features of our single tenant portfolio leases, but are supplemented by smaller in-line tenants that allow for rent growth and an ongoing balancing of store concepts that can be responsive to retail trends. We believe that the flexible unit size and negotiable lease terms at our centers attract both experiential and service retail tenants. These tenants have a symbiotic relationship with anchor tenants, where the smaller businesses benefit from the shoppers draw the anchor and the frequency with which shoppers visit a tenant, such as [indiscernible] helps drive traffic to anchor tenants such as Ross, Best Buy and HomeGoods.Our composite retail portfolio is consistent with what we see as the direction retail is headed, which is to deliver convenience and optionality to consumers. We believe that the multi-tenant properties we own offer an opportunity for growth and occupancy and rent that complements the single-tenant assets. Our 33-property, 7.2 million square foot multi-tenant portfolio has occupancy of 87.1% as of December 31, 2019, with 1.3% average annual rent escalators.Annualized straight-line rent is up to $89 million from $88 million a year ago. We continue to focus on leasing up available space and renewing leases with performing tenants in the portfolio, as evidenced by our current weighted average remaining lease term of 4.9 years.This is only slightly less than the 5.1 year average we reported a year ago despite the passage of 12 months. Executed occupancy as of year-end was 88.3%. Executed occupancy includes 86,000 square feet of leases where rent has yet commenced such as a 61,000 square foot lease with Dicks Sporting goods at San Pedro Crossing that will add over $600,000 in annual base rent.AFIN will continue to pursue NOI growth through our multi-tenant leasing program. over the past two years, AFIN has experienced de minimis tenant defaults including bankruptcies that resulted in the termination of rent payments. We believe this is in large part due to our strategic focus on creditworthy tenants and active tenant monitoring program. On average, where rent was lost due to bankruptcy, the loss rent average only 0.07% of the portfolio's SLR from the prior rent paying quarter.In aggregate, these bankruptcies totaled less than 0.42% of our annualized straight-line rent, and each represented an opportunity to negotiate leases with new tenants at current market rents. We would like to point out that we have no exposure to troubled Art Van, the parent company of World Furniture, which is a significant tenant in a number of other retail-focused REITS. Katie, will you walk us through the financial results in more detail.
Katie Kurtz: Thanks, Zach. We reported total revenue for the year ended December 31, 2019, of $299.7 million, a 3% increase compared to $291.2 million in the prior year. Fourth quarter revenue was $76.2 million, a 2% increase from $75.1 million in the fourth quarter 2018. The company's 2019 GAAP net loss was $3.1 million versus $37.4 million in 2018 and full-year 2019 NOI was $247 million, a 4.2% increase over the $237.1 million we’ve recorded for 2018.Full year FFO was $98.6 million or $0.93 per share compared to the $91.6 million and $0.87 per share in 2018, an 8% increase. For the fourth quarter of 2019, our FFO attributable to common stockholders was $22.4 million or $0.21 per share. Full year AFFO was $104.9 million or $0.99 per share compared to $103 million and $0.98 per share in 2018, a 1.8% increase year-over-year.And fourth quarter AFFO was $25.2 million or $0.24 per share compared to fourth quarter 2018 AFFO of $0.23 per share. As always, a reconciliation of GAAP net income to non-GAAP measures can be found in our earnings release supplement and Form 10-K.We ended the fourth quarter with net debt of $1.6 billion at a weighted average interest rate of 4.3%. The components of our net debt includes $333.1 million drawn on our credit facility, $1.3 billion of outstanding mortgage debt and cash and cash equivalents of $81.9 million. At quarter's end, interest rates on our mortgage debt were all fixed, leaving only the drawn amount on our credit facility at floating.Liquidity, which is measured as undrawn availability under our credit facility, plus cash and cash equivalents stood at $232.8 million at December 31, 2019. The company's net debt to gross asset value or total assets plus the accumulated depreciation and amortization was 39.2%. And the net debt to annualized adjusted EBITDA was 7.7 times at December 31, 2019 compared to 38.6% and 7.4 times respectively, at the end of 2018.We were active in both the equity and debt capital markets in 2019, raising common and preferred equity, and successfully completing our inaugural issuance of $242 million in ABS notes. Through two separate underwritten offering, we raised $116.9 million of preferred equity, while through ATM programs, AFIN rates $31.6 million in common stock and $52 million in preferred stock. As Mike and I have previously discussed, these capital markets transactions were contemplated with the goal of deploying the proceeds into new accretive acquisitions. We purchased $423 million in total acquisitions during 2019.With that, I'll turn the call back to Mike for some closing remarks.
Mike Weil: Thanks, Katie. We encourage you to follow AFIN on Twitter @AFIN_REIT for a selection of news and research articles that are relevant to our company. I believe we've had a very productive year in 2019, and we look forward to continuing to execute on our strategy in 2020 and beyond. We've delivered on the plans we laid out previously and have taken advantage of the expanded access to capital and financing markets that are available to a listed company. We've used this expanded access to grow and optimize our highly differentiated portfolio of single-tenant and multi-tenant assets focused on service retail.Going forward, we'll continue to maintain our steady and deliberate approach to growing our portfolio through high-quality accretive acquisitions. We'll seek to sustain high occupancy levels at our properties, execute long-term leases with predominantly investment-grade and implied investment-grade tenants and maintain our current embedded contractual rent growth. We continue to see attractive opportunities in both retail real estate and financing markets and expect to continue to be active in these areas in the near future. We look forward to sharing further updates on our progress with you in our next quarterly update call.Operator, please open the line for questions.
Operator: We will now being the question-and-answer session. [Operator Instructions] And our first question comes from Jeremy Metz of BMO Capital Markets. Please go ahead.
Jeremy Metz: Hey, guys. Good morning.
Mike Weil: Hey, Jeremy. Good morning. How are you doing?
Jeremy Metz: Good. Just wanted to start first on the multi here. Zach, maybe you can just give some color on the dip in occupancy we saw. I think if you go back to last quarter, you talked a little bit about some temp or holiday leasing that was propping it up a little bit. So I think part of that is maybe just those tenants flowing out. So just exactly what happened here. And at this point, within that 87% occupancy you have, how much at this point, it's temporary even short term, less than a year, month-to-month type of leasing?
Zachary Pomerantz: Good morning. Thanks. So, yes, the dip from last quarter as a result of the temporary seasonal occupancy that we discussed. Overall, that was the only temporary seasonal occupancy we had in the portfolio at the time. So the rest of it is normal leasing activity, and we have to continue to grow into the new leases.
Mike Weil: Hey, Jeremy, it's Mike. Let me just jump in for a minute. If you remember the call from the third quarter and the materials that supported that call, reported occupancy at the end of the third quarter was 89.1% and 2.4% of that was disclosed as seasonal, that short-term leasing that you just referenced, which if you do the math, takes us down to 86.7% on long-term leases. So when you compare fourth quarter to third quarter, we've increased, again, the long-term occupancy of the multi-tenant portfolio.And if you go back to first quarter 2019, we started at 84.8%. So we've had four quarters of consistent, steady growth in the multi-tenant portfolio with what we consider to be very valuable long-term tenancy that not only raises the overall occupancy, but increases the value at each power center. And I expect that you'll continue to see that trend in the upcoming 2020 quarters.
Jeremy Metz: Yes, that helps. I just wanted to just make sure it was all kind of that temp-driven, which it sounds like it definitely was. So I appreciate that. Katie, you talked a lot about the balance sheet. You have a lot of maturities coming up this year, a pretty significant portion of the debt stack. So how should we be thinking about the timing and refi expectations there? Will you look to take out additional proceeds to kind of help fund the next layer of acquisitions beyond the liquidity you have today?
Katie Kurtz: Thank you. And hi, Jeremy, we do have a larger maturity coming due in September of this year. It's something that Mike and I have been focused on for some time now. I think that we consider a pretty much normal course in terms of our portfolio and the kind of debt that we have on that portfolio. So we are actively managing that and negotiating how we will refi that out before September and making sure that we have enough time to do that.We're also feeling really good about the rates right now. That was on our books at over 4%. Rates have come in since that was put on our books. So we're looking forward to some better mix in terms of interest rates. From pulling additional money out, that's something Mike and I will be talking about. We are really happy with where our balance sheet is right now and where our leverage levels are right now. So we'll be keeping that in mind as we refi that debt.
Jeremy Metz: All right. And then Mike, can you maybe just talk about the acquisitions pipeline here? Just a little color around what you have out there, in particular, the $8 billion – 8% cap rate. It just seems unusually high, usually that tends to draw some focus and points of possibly some enhanced risk in those? So just any sort of color on that? And how active the pipelines would be helpful?
Mike Weil: So as of the end of January, it was an $83 million pipeline, and it did have an average GAAP cap rate of 8.8%. Starting cash, you can assume that because we haven't yet disclosed the starting cash cap rate of the pipeline, but we will in the quarter. But it's in line with where we have been buying deals. So don't read into the 8.8% as enhanced risk, read into the 8.8%, as we have been very focused on that 15- to 20-year range with contractual rent growth in line with what we typically see in net lease deals. So that's 1.5% to 2% type of annual escalators. So these are very similar to what we've been buying.If you look at the pipeline report, which was on Page 5 of the investor deck, you can see some of the names. We again underwrite everything in the same way, and I will tell you that the company is not chasing yield. The company is focused on high-quality, long-term tenancy. And I think that there – as you can see in the quarter from an occupancy standpoint, the portfolio is doing very well. We don't have additional bankruptcies that we're dealing with. And as we said in the script, we're over 80% on a straight-line rent basis, investment-grade or implied investment-grade rated tenancy. So the portfolio – we are very, very comfortable with its ability from a sustainability and credit standpoint.
Jeremy Metz: Great. Last question for me is just taking on investments on the turn in to the disposition side. You've been active and made good progress selling down the Truist exposure. So should we look for that to continue here in 2020? Is there an outside target that you have in mind, say, 5% or less? And then how should we think about additional strategic dispositions at this point beyond some of the Truist you’ve been on?
Mike Weil: So as it relates to Truist, I don't know that we have any desire to get below 5% on a straight-line rent, but again, having not disclosed or disposition targets, I want to be a little bit vague there. I think for the quality of that credit, the merged BB&T SunTrust platform, it continues to be a credit that we're very comfortable with.For the rest of 2020, and I do think there are some – I know there are internal discussions on some potential dispositions, and we’re not disclosing that right now. But I do believe that one of our most important jobs, something that we did very well in 2019 is strategic dispositions with very accretive redeployment, and we're going to continue to look for those opportunities.
Jeremy Metz: Thanks for the time.
Mike Weil: Thanks, Jeremy.
Operator: Our next question comes from Matt Boone of B. Riley FBR. Please go ahead.
Matt Boone: Hey, guys. Good morning. Just a couple of quick questions for me. When does the 86,000 of executed square feet on the multi-tenant portfolio expected to commence?
Mike Weil: Those leases will commence over the coming quarters. There's not an exact date that I provided at this time, but – well, let's be a little bit more specific. So they're executed leases. They're in the free rent period and the commencement, some of them will commence in the first quarter into the second quarter. So it is what I think of as near-term commencement.
Matt Boone: Okay. Thank you. And then turning to the current portfolio, it sounds like everything seems pretty good. There's a very good quality, no bankruptcies as you were saying, but has there been any weakness at all from any of your tenants that might be worth noting? Or is everything in pretty good shape as it stands right now?
Mike Weil: Matt, I'm really pleased with the condition of the portfolio from a credit standpoint. As we've talked about on previous calls, we have had minimal to the point that I would say nonmaterial credit problems in the portfolio. If I go back over the last two years, the whole portfolio is less than 0.5% of straight-line rent that has incurred of bankruptcy. There have been some announcements in the fourth quarter of retailers that can commonly be found in a lot of net lease portfolios that we have zero exposure to our top 10 tenants continue to perform. And again, 82% of the portfolio on a straight-line rent basis is investment-grade and implied investment grade. So we continue to expect this performance in 2020.
Matt Boone: Got it. Thank you. And then lastly for me. As it relates to the coronavirus outbreak, has that had any near-term impact at all in terms of the assets that you're underwriting for the way you expect the acquisition pipeline to shape up just primarily in the near term?
Mike Weil: So Matt, I'm going to start with a very short answer, no.
Matt Boone: Okay.
Mike Weil: But I'll expand it. So coronavirus is obviously something that we're all very focused on. We're looking for information, not only for the U.S. markets, but for the global markets, just because it is an event of significance. I certainly don't take it lightly. I do think as we're seeing every day in the news that there are certain new announcements.In fact, our tenants are corporately guaranteeing the majority of our leases, as I've said now, I think, three times on today's call. 82% of our straight-line rent is derived from investment-grade and implied investment-grade tenants. So that equates to me to very strong corporate tenants that are going to be able to continue to pay their rents and whether they have some short-term swings in their business as the U.S. population deals with coronavirus. Long term, they are going to withstand this period and be the same healthy retail tenants that they've been up until the coronavirus.So we stay in touch with our tenants. They are all proactively doing what they can do. But as far as our rent, it is not in jeopardy, and we don't anticipate any problems in the near-term as it relates to that.
Matt Boone: Great. Thank you.
Operator: We are showing no further questions at this time. I would like to turn the conference back over to Mike Weil for any closing remarks.
Mike Weil: Well, again, I just always like to thank you for taking the time to join us today. We're very excited about the direction of the company. 2019 was a terrific year for us, and we're excited going into 2020. If anybody has any follow-up questions, please feel free to reach out. We welcome your calls and look forward to seeing everybody soon in the year.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.